Maria Forss: Hello, and welcome, everyone, to BICO's Earnings Call for our Quarter Four Report for 2023. We released our interim report earlier today at 7:00 a.m. CET, and my name is Maria Forss, and I'm BICO's CEO and President since November 2023. This is my first report for BICO and together with our CFO, Jacob Thordenberg, I will guide you through our financial performance and shed some light on our strategic priorities for BICO moving forward. Let's move on to the agenda slide. Our agenda for today is divided into four sections before the Q&A. We will give you a summary of the quarter, the interim financial performance of quarter four and for the full year 2023 as well as our performance per business area. We will also touch upon BICO's strategic priorities. After the presentation, we will move to a Q&A where you can participate and ask questions. The operator will be back with further instructions. BICO released preliminary quarter four and full year 2023 figures earlier this month on February 14, together with information about the goodwill impairment, which amounted to SEK582 million for the company's SCIENION, Visikol and Nanoscribe. Jacob will elaborate a bit more on this subject later on in the presentation. Sales in quarter four amounted to SEK636.6 million, a decline of 4.4% compared to a very strong quarter four of 2022. This also meant that the positive seasonal effect was weaker compared to the corresponding quarter last year. This can primarily be explained by a decline in sales from Academia, Diagnostics, and Biotech segments, and by a more diverse product mix. It was pleasing to see that we delivered an adjusted EBITDA which amounted to SEK86.1 million and a double-digit margin of 13.5%. We also divested Ginolis via management buyout in November 2023. And the rationale behind this was that Ginolis didn't manage to transition fast enough to mitigate the post-pandemic downturn. Due to the divestment, Ginolis has been classified as discontinued operations in the financial reporting. And consequently, all the numbers referred to continued operations, except for cash flow numbers, which include Ginolis as well. We're also very proud that Biosero signed the group's largest project to date worth of US$28 million in December. This project consists of delivering lab automation solutions to a global pharma customer. I will now hand over to Jacob on the section about our financial performance.
Jacob Thordenberg: Thank you, Maria. I will summarize both Q4 as well as the full year 2023. As Maria mentioned on her first slide, we delivered sales of SEK636.6 million with a decline in organic sales of negative 4.4% and negative 6.1% in constant currency. Adjusted EBITDA amounted to SEK86.1 million, and EBITDA was SEK95.1 million, thanks to healthy sales levels from Biosero's lab automation projects as well as an effect of rightsizing and cost control. The gross margin for the quarter amounted to 70.2%, which is in line with the corresponding quarter last year. The net loss for the quarter amounted to negative SEK877 million, whereof SEK582 million related to the goodwill impairment. And if we deep-dive into our sales for the quarter, you can see that the sales have increased over the year and sales for Q4 amounted to SEK636.6 million, which corresponds to a negative organic growth of 4.4%, as mentioned on the previous slide. This meant that the positive seasonal effect was weaker compared with Q4 2022. This can primarily be explained by a decline in sales in the Academia, Diagnostics, and Biotech segments and a different product mix. We can conclude two main reasons for the decline in sales, which also hampered our industry peers. Firstly, weaker sales than expected from some of our instrument-oriented companies, mainly attributable to reduced or frozen grants within academia and research in both EU and U.S. Secondly, we saw a weaker demand from the Diagnostic industry, which resulted in hampered sales in Bioautomation compared to Q4 2022. On the positive end, we saw an increased demand from Pharma customers and for Biosero's lab automation solutions. And if we move on to adjusted EBITDA, adjusted EBITDA amounted to SEK86.1 million, corresponding to a margin of 13.5%. Compared with Q4 2022, the increase in margin was mainly attributable to rightsizing and cost control as well as the healthy sales levels in Biosero. During the year, we have worked with initiatives related to operational excellence that targets lower cost, both on a short-term and long-term basis. In 2023, this translated into substantially lower personnel costs as well as cost cuts at BICO Group. Please also note that SEK12 million was less capitalized in Q4 2023 compared to Q3, explaining the decrease in margin between the quarters. That was Q4 2023. Let's move on to full year 2023. For the full year 2023, we delivered sales of SEK2,249.9 million, which corresponds to an organic growth of 5.8% and 0.3% in constant currency. Adjusted EBITDA amounted to SEK217.7 million and EBITDA was SEK360.4 million, thanks to sales growth, but foremost, our diligent focused on rightsizing and constant control during the year. The gross margin for the year amounted to 70.1%, which is in the same span as the previous year. The net loss for the quarter amounted to negative SEK1,698 million, which mainly drives to the goodwill write-downs in Q2 and Q4 2023. The goodwill write-downs amounted to SEK1,350 million. On the next slide, this shows the progress being made during the year, divided into total sales, adjusted EBITDA and operational cash flow. First, let me comment on sales, which shows a total increase of 6.1%. Adjusting for FX, sales were, however, flat, but in a very tough post-pandemic market where BICO, in comparison to peers, has performed rather well. This was primarily related to increased demand during the second half of 2023 for Biosero and the project-based business and in addition to some of the group companies in Bioprinting and Biosciences delivering slightly above expectations on a full year basis. For adjusted EBITDA, I want to mention substantial improvements despite flat sales due to significant cost savings, resulting in adjusted EBITDA increasing to SEK217.7 million from SEK126.2 million in 2022. In terms of operating cash flow during the year, we have made significant improvements, mainly driven by improved profitability and net working capital improvements. As can be observed in the table, we delivered SEK178.4 million in 2023, which is SEK447.8 million higher than in 2022 with negative SEK269.4 million in operational cash flow. As Maria mentioned in the beginning of the call, we communicated goodwill write-downs on February 14th of SEK582 million, which are non-cash flow affecting one-off items, affecting EBIT in Q4. I will now give you the background to these write-downs, starting off with SCIENION. SCIENION's performance has during the year been characterized by weak financial development, attributable to weaker demand from the diagnostics industry. This would lead to a slower growth pace than previously forecasted, which in terms impact the goodwill value. We have major organizational changes and rightsizing during 2023 to mitigate the effects from the weaker demand. And Nanoscribe has not been delivering according to the high expectations set in 2021, when the company was acquired. This has resulted in lower growth estimates, which has impacted the goodwill value. Visikol has developed weaker-than-anticipated over the last quarter. A decision has been made to integrate Visikol into MatTek since we have concluded that Visikol has better opportunities to reach profitability as an integrated part of MatTek. Due to the integration, Visikol's offering will be smaller and more focused on profitability. Given this, future projections have been lowered, resulting in a need for goodwill impairment. And if we move on to the next slide, I will comment on the cash flow. Improving cash flow and working capital have been a priority during 2023 and cash flow from operating activities for Q4 amounted to SEK162 million. This includes a positive effect from a net decrease of working capital of total SEK64 million. This effect comprised of an increase by SEK91 million in operating receivables and a decrease of inventories by SEK23 million and an increase by SEK132 million in operating liabilities. Investments in tangible CapEx amounted to SEK9 million in Q4. Investments in intangible CapEx, mainly product development amounted to SEK15 million. As previously mentioned, this level was lower than in Q3 2023, which is related to product launches in early Q4, reducing the level of capitalization in the quarter. Earn-out payments amounted to SEK20 million in the quarter, estimated remaining earn-out payments amount to SEK49 million. Total cash flow during Q4 amounted to SEK307 million, of which SEK244 million was related to the divestment of the building in Berlin, which was completed during Q4. This improved total cash flow – cash reserves to SEK861 million per December 31, 2023. Given the still somewhat weak market sentiment, we believe it's for now beneficial for the group to have a strong cash reserve. This position is something that we continuously evaluate. On this slide, I will further elaborate on the networking capital improvements during 2023. Please note that all net working capital numbers on this slide are excluding Ginolis. Between Q4 2022 and Q4 2023, net working capital has decreased from SEK670 million to SEK475 million, and the main drivers for this development includes accounts receivables, which improved from SEK665 million to SEK520 billion, which is an improvement by SEK145 million due to more robust processes, including better collection payment processes – payment process and group guidance. Inventories improved by SEK55 million, this is due to more stringent processes and agreements in place, which have stopped further increases in 2023 and inventories are expected to slowly show decreasing effects throughout 2024. Working capital liabilities increased by SEK56 million, primarily driven by large Biosero – by the large Biosero order. All in all, total improvements amounted to SEK195 million or a decrease from 32% to 21% of net working capital in relation to total sales – total 2023 sales. We have reached my final slide in this section. Our financial targets were introduced in November 2022, and they are valid on a mid-term basis. For our growth target, we achieved 0.3% organic growth in constant currency. The outcome is below target, however, expected given the challenging market environment during 2023. If we move on to our margin target, BICO achieved 11.5% for reported EBITDA and 5.1% for adjusted EBITDA. The outcome is slightly below target if adjusted for earn out adjustments, but an improvement from previous year. The last of our three targets, the net debt target was performed as follows, 1.6% for reported EBITDA and 2.6% for adjusted EBITDA. The strong cash flow in Q4 decrease the ratio, which is well in line with the target. I’ll now hand over to Maria, who will comment on our three business areas.
Maria Forss: Thank you, Jacob. Let’s move on to the next slide where I will briefly summarize our business areas. For quarter four, the Bioprinting business area reported net sales of SEK171.3 million representing 27% of the total group sales. The organic growth in the segment was negative 18.2%, and that adjusted EBITDA was SEK9.2 million, corresponding to a margin of 5.4%. The business area showed weaker sales development compared to the corresponding very strong quarter last year, and that lower sales levels were primarily attributable to the Academia segment in relation to strong corresponding quarter last year, the weaker profitability was also attributable to weaker sales compared to quarter four 2022. Moving on to our next business area Biosciences. In quarter four, the business areas net sales amounted to SEK325 million representing 51% of the total group sales. The organic growth was 9.9%, and the adjusted EBITDA was SEK59.1 million corresponding to a margin of 18.2%. This business area continued to deliver stable sales development compared with the other business areas in the quarter. The profitability was positively impacted by the sales growth, primarily from project based lab automation in Biosero as well as right sizing of the companies. Our third business area Bioautomation reported in quarter four net sales of SEK140.5 million, representing 22% of the total group sales. The organic growth for the quarter was negative 12.7% and adjusted EBITDA amounted to SEK43.5 million corresponding to a margin of 13.9%. Ginolis was divested in November 2023 and is treated as discontinued operations from the quarter four report. Bioautomation delivered weaker sales in the quarter, which can be explained by a significant decline in sales in the Diagnostics segment, which contributed to a very strong corresponding quarter in 2022, when excluding Ginolis. Profitability for the quarter improved significantly with Ginolis excluded and with regards to the divestment of the building in Berlin. Before the Q&A, I would like to brief you about BICO’s strategic priorities, as well as our focus for the months to come. Since I joined BICO in late November 2023, I have together with Jacob done site visits to all our companies in Sweden, Germany and the U.S. and have done a thoroughly review of the current state of all our businesses. BICO acquired many companies during 2021 and successful integration of acquisitions require lots of resources and established internal infrastructure as well as experience. And therefore the last two years has been spent on improving financial processes, address company specific challenges and establishing group wide processes and these are needed to be able to run an efficient global organization. And during 2023, our efforts were centered around cost control and initiatives related to operational excellence. We have demonstrated progress in these areas, but we still have many challenges and areas for improvements that we'll have to focus on during 2024. And my direction going forward is clear. I will, together with my team, spend time on addressing challenges that I have seen and in parallel, we will work to set the strategy for BICO. The work with the updated BICO strategy has been initiated and the launch will be made during 2024. In order to address the challenges, our four strategic priorities for improvement has been defined and these are driving the commercial excellence to improve and strengthen the commercialization effectiveness of our strong portfolio as well as further explore opportunities for collaborations and partnerships. Secondly, completing a strategic view and this review consists of an assessment of the R&D roadmap as well as the group's product portfolio and offering in the light of the market landscape. The findings from the review will highlight commercial opportunities and synergies, i.e., how can we further develop our offering and product portfolio, which will be essential in BICO's new strategy, given the current macro environment as well as the geopolitical situation. Thirdly, invest in people and culture. We will invest more in people and culture and to coordinate these efforts, a global Head of HR has been appointed. This role will be responsible for shaping and executing BICO's global HR strategy to build a people and high performance culture. And the fourth and last area to focus on is to continue our operational excellence initiatives. The BICO Group will continue to address the challenges related to improving processes and continue to keep strict cost control. We will proactively monitor all our businesses during the business review in order to keep pace to be able to reach progress in improvement projects that have been identified. And this area entails work with inventory management as well as supply chain related synergies also during 2024, and we’ll continue the ERP implementation and an establishment of a project management office. I believe that these priorities will pave the way for the updated BICO strategy, which will capture current commercial growth opportunities as well as unlocking future potential, and they will guide us through 2024. With that being said, it’s time to open up for Q&A. Please follow the instructions from the financial hearing host.
Operator: [Operator Instructions] The next question comes from Ulrik Trattner from Carnegie. Please go ahead.
Ulrik Trattner: Thank you very much and a few questions on my end. And let’s start off with the market environment. I know that some of your peers are projecting an improved market outlook year-over-year from a challenging 2023, perhaps more tilted towards the second half of 2024. And what’s your take on the current market environment? And then in addition, I know that both Eli Lilly and AstraZeneca, they’re doing quite a lot of work in lab automation and they are including your Biosero products, right? And just what’s the current ambition out during the market to invest CapEx in lab automation?
Maria Forss: I can start with your second question, Ulrik, and then lead into the first one. Looking at lab automation that is one of the buzzwords today in more or less all presentations during the JPMorgan Conference. The big pharma companies were talking about lab automation as an important part to increase the speed of development of their different development activities, but also in terms of manufacturing. So with Biosero and the software Green Button Go, which is an industry leading software solution for orchestrating lab flows, I believe we are in a good position to utilize the hot topic and lab automation and the need that that is addressing in the market. And having said that, I think the weaker market we saw in 2023 is likely to continue during part of 2024. And hopefully there will be a better increase in the latter part of the year. But of course we are keeping our eyes on the ground to see what’s happening there.
Ulrik Trattner: Okay. Great. And you mentioned the Green Button Go and lab automation, obviously very, very sort of encouraging trends. And also note that you’ve been awarded contracts for the software, but I would like to touch based on your ability to sell additional systems into a workflow where you have established a contract with Biosero or the Green Button Go. Are you seeing the synergies there or is there further improvement needed in that area?
Maria Forss: One of the beauties with the Green Button Go software is that it’s totally instrument agnostic. That means that we can incorporate whichever instruments from any provider that suits the needs of our customer. Of course, we will also utilize the different instruments that we have in our portfolio that are also strong. And in the event that the customers want to have those instruments included, that will be included together with other instruments to optimize the workflow in the labs.
Ulrik Trattner: But do you feel that the positioning of your systems have improved with sort of inclusion of the Green Button Go? Or is it just more of the same? I know it’s agnostic but have you felt that you are able to deliver on more high-volume contracts with other systems enabled by Biosero?
Maria Forss: Asking customers why they choose us, it’s because we have the gold standard in the industry in terms of software and also that we have the flexibility of addressing both, the products that we have in our portfolio, which is quite broad and also other companies’ products. So, I think there are still opportunities to even more highlight the breadth of our portfolio, but so far, it’s gaining rather than being negative for us. So, I don’t know if that answers your question, Ulrik, or if you have another question connected to it.
Ulrik Trattner: No, that’s fine. But if we can continue on sort of the projections for 2024. Two follow-ups on that one. The first being Sartorius will now be distributing your products in Asia. And what should we expect from that? And the second being, obviously, we have seen this negative or hampering effect on Academia. And I note that the NIH have just increased their budget just slightly above 2% for 2024. And if we are to expect a sluggish 2024 for Academia, i.e., a sluggish year for Bioprinting overall? Or if that can be aided by Sartorius selling your products into Asia?
Maria Forss: When it comes to Sartorius, it’s a partnership and collaboration that both Sartorius and BICO are key to – are very keen to make sure that, that is running in the best way, and both are dedicated to do so. I believe when it comes to Academia and the outlook, then I like the fact that in the BICO portfolio, we are present in many different areas. So, we are not dependent solely on Academia. We are selling to pharma, we’re selling to biotech, we’re selling to many other sectors. And the fact that we also are not depending on a single geographical area makes this – makes me sleep better at nights because then we can utilize the fact – the breadth of our portfolio as well as the graphical footprint with sales in over 61 countries. So I’m not particularly concerned about Academia per se.
Ulrik Trattner: And then moving on to margins. Can you give us sort of – I note you have less capitalized R&D, at least versus my expectations. But is there any reasons for Biosciences’ lower margins in Q4 versus Q3?
Jacob Thordenberg: Well, it’s – as you say, Ulrik, it’s partially related to the less capitalization in Q4 and then partially due to a different product mix than in Q3.
Ulrik Trattner: One should not extrapolate either Q3 or Q4 margins as sort of…
Jacob Thordenberg: Can you say that again? You broke up Ulrik.
Ulrik Trattner: All right. Sorry. So we should not extrapolate the Q4 margins and perhaps we should not have extrapolated the very strong Q3 margins either.
Jacob Thordenberg: I think you should extrapolate the development that you have seen between 2023 and 2022.
Ulrik Trattner: Okay. Yes, that's fine. Yes, that's fine. Two more questions on my end. First, noting really solid improvements here in cash flow. Can you give us some background here to improved inventory management is obviously something positive here in Q4? Is this finalized and optimized and/or are we to expect further improvements on the operational cash flow heading into 2024?
Jacob Thordenberg: Yes. But I mean, as you saw from the presentation, we have seen sort of significant improvements from networking capital between 2023 and 2022. So I don't foresee that we will see similar improvements going into 2024. We are quite happy with the levels of accounts receivables and also payables. However, we do believe that we could do further improvements in inventory. But we will not see the same magnitude of improvements in 2024 as we did in 2023. So if I could summarize, I would say that in 2023 we did major improvements, as you can observe. And I think in 2024, we could do slightly more improvements, but not in the same magnitude as we saw in 2023. And these improvements then being mainly focused on inventory and inventory management.
Ulrik Trattner: Great. Thank you. Last question on my end. Obviously, you received the funds from the sale-and-lease-back in Berlin here in Q4, but you still have the Finland property left on your balance sheet. I know that it's a challenging environment and it's a tricky one to decipher what the value of this property will be, but where are you at in that process as well as can you give some rough estimation on what's the book value of this property?
Jacob Thordenberg: I won't go into the book value of the property, given sort of the sensitive nature of that figure. We are currently evaluating either to lease out the building or to divest the building.
Ulrik Trattner: Okay, great. Thanks for taking my question. I'll get back into the queue.
Jacob Thordenberg: Thank you. Thank you.
Operator: The next question comes from Rickard Anderkrans from Handelsbanken. Please go ahead.
Rickard Anderkrans: Good morning and thank you for taking my questions. I'll start off with a follow-up on Biosero, please. So it seems like Biosero has done very well for – in Q4 and for the full year. What type of organic growth did Biosero deliver in Q4 and the full year, just to get a sense of the sort of relative performance of that subsidiary? Thank you.
Jacob Thordenberg: Rickard, we won't go into specific numbers of Biosero and how much of our business that comprise, but Biosero is a significant part of our Bioscience business area.
Rickard Anderkrans: All right. And following up on the potential for synergies with Biosero order, so for example, if we take the US$28 million order you recently announced from the big pharma company, is it reasonable to assume that you could get additional $28 [ph] million in BICO instrument sales on top of that as a synergy? Or how should we think and scope for the synergy potential as you view it as sort of a base case thinking?
Jacob Thordenberg: Well, I mean, as Maria mentioned to Ulrik in one of his questions, Biosero is a hardware-agnostic business, i.e., that's one of their sort of competitive advantage is that they could provide any instrument that customer would like to include. With that said, we are of course, trying to cross-sell BICO products onto the Biosero lab automation flows, but it's not something that we will sort of push on customers. So there are potential synergies. But out of the US$28 million, it's not equal that that will be all BICO synergies. But some of it may very well be sort of synergies within the group.
Rickard Anderkrans: All right. So the US$28 million order is including some of the instruments as well from BICO?
Jacob Thordenberg: Yes, it is. It's including the hardware, labor and software connected to automating that lab then for that order.
Rickard Anderkrans: All right, clear. I wanted to follow-up also on the sort of broad-based performance. Are all of the subsidiaries in the group profitable on an EBITDA level now sort of exiting the year, just to get a sense of the breadth of the earnings here?
Jacob Thordenberg: No, not all of the companies.
Rickard Anderkrans: Okay. Can you share if there's – is it one or two companies, which are not profitable on an operating level or just to get a sense of the magnitude and the split?
Jacob Thordenberg: I think one or two is a fair assumption.
Rickard Anderkrans: That's helpful. So final question from me, please. So I noticed that the share of product revenues from consumables has been relatively steady in recent quarters. Wanted to follow up again on that one and see – how should we think about the share of consumables in product sales over time? What's the reason for the slower consumable pull-through on the installed base or relatively stagnant level? Just wanted to follow-up there. Thank you. 
Jacob Thordenberg: I think that's a very good observation, Rickard. And we have made the same observation. And that is something that we address with all of the companies that are sort of having a consumable part of their offering. So it's not something that we are satisfied with. And we will continue to focus on that in 2024 to increase the consumable parts of our business and also the service business.
Rickard Anderkrans: All right. So if we try to put a fine point on it, based on how the current portfolio looks, are you aiming for 40% consumables of sales? So just to get a sense of the potential of where we could be in a few years' time or your internal ambitions at least?
Jacob Thordenberg: Yes, I think that's internal ambitions. And I understand your question, Rickard. I think we will sort of have to come back to my earlier comment, and that is that we also see that consumables and services are not growing as rapidly as one could wish and that is something that we will focus on 2024 and onwards. But I won't give you sort of our internal target number for sort of our long-term ambitions when it comes to that mix.
Rickard Anderkrans: All right. Fair enough. So I guess we should assume that we will see a Capital Markets Day with the updated strategy, and Maria mentioned sometime this year as well?
Maria Forss: That's correct, Rickard. We will continue our work with the updated strategy, the work that we have commenced that I referred to before. And when we are ready with that, we will invite you and definitely share the updated strategy and continue the transparency and our journey to profitable growth.
Rickard Anderkrans: All right. Thank you for taking my question. That's all from my end.
Maria Forss: Thank you, Rickard. 
Jacob Thordenberg: Thank you, Rickard. 
Operator: Thank you. [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Maria Forss: Thank you to all participants who have listened in, and thank you for all the questions. Together with Jacob, I would like to wish you a great Tuesday. Thank you, and goodbye.